Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2009 Cabot Earnings Conference Call. My name is Novelia, and I'll your coordinator for today. At this time all participants are listening only mode. We'll be facilitating a question-and0-answer session towards the end of this conference. (Operator Instructions). As a remainder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host of today's call, Ms. Susannah Robinson, Director of Investor Relations. Please proceed.
Susannah Robinson: Thank you, Novelia. Good afternoon everyone. I would like to welcome you to the Cabot Corporation fourth quarter and full fiscal year 2009 earnings teleconference. Here this afternoon, are Patrick Prevost, Cabot President and CEO; Eddy Cordeiro, Cabot's Chief Financial Officer; Dave Miller, General Manager Core Segment; Sean Keohane, General Manager of the Performance Segment; Fred von Gottberg, General Manager of the New Business Segment; Ravi Paintal, General Manager of the Specialty Fluid Segment; Jim Kelly, Corporate Controller; and Brian Berube, General Counsel. Last night we released results for our fourth quarter and full fiscal year 2009; copies of which are posted in the Investor Relations section of our website. For those on our mailing lists, you received the press release either by email or fax. If you are not on our mailing list and are interested and receiving this information in the future. Please contact to me in Investor Relations. The slide that accompanies this company is also available in the Investor Relations portion of our website and will be available following the earnings teleconference in conjunction with the replay of the call. I remind you that our conversation today will include forward-looking statements, which are subject to risks and uncertainties and Cabot's actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot's actual results can be found in the press release we issued last night, as well as in our 2008 form 10-K and subsequent filings with the Securities and Exchange Commission. Copies of which are available on our website. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the company's performance for the quarter. Eddy Cord will than review the business segment and corporate financial details; following this Patrick, will provide our business outlook and closing comments and we'll open the floor to questions. Patrick?
Patrick M. Prevost: Thank you, Susannah, and good afternoon. Before I begin my remarks today, I would like to take a moment to introduce to Dave Miller, as the new Head of the Core segment in the Americas region. Dave comes to Cabot from BP, with more than 27 years experience in the chemical industry. He has a board base of experience in key leadership roles including in business management, strategy, manufacturing and sales. His experience has been in international in scope, including significant time in Asia and Europe. And he has managed several niche commodity businesses. I have worked with Dave in the past and I'm pleased to have him here with us. I'm looking forward to his contributions to Cabot and the Executive Team. Welcome, Dave. Now turning to our business performance; I will begin by sharing with this some of our key highlights for the fourth quarter and full year 2009. I will then take time to discuss some of the opportunities I see that the company that it give us confidence in our ability to meet our long-term financial targets. During the fourth quarter, we improved overall business segment profit by $70 million, driven by strong volume increases and cost management in our key businesses. Demand in our downstream market continues to improve in all regions with particular strength in Asia and most specifically in China. Our fourth quarter volumes were 15 to 30% above those in the third quarter. However, they remained 5 to 15% below last year's fourth quarter. For the full year, volumes were 20 to 30% below the peak levels experienced in 2008. As we look at the key industries that we serve, we're seeing continued sequential strengthen in power and electronics. Power production is beginning to ramp up month to months in North America; although still 15 to 20 below last year's levels. In Asia-Pacific and particularly in China, demand has return to pre downturn levels. In the electronics market, August marks the six consecutive month of growth in integrated -- shipments. The levels however remain substantially below 2008, with shipments in the first eight months of 2009, 20% below the same period of 2008. The OEM automotive and construction markets however are still lagging. Year-to-date, the automotive markets in Europe and North America are substantially lower than last year; although demand has stabilized as a result of government initiatives in both regions. Asia-Pacific markets are growing rapidly and September marked a record high automotive production level in China. The residential constructions industry remains more than 25% below 2008 levels, driven principally by decline in housing stocks. This performance is somewhat offset by the accelerated infrastructure spending in many countries as result of government's stimulus spending The restructuring program we announced in January in response to the difficult market conditions, is well ahead of schedule and on track to deliver an access of $80 million of fixed cost savings in fiscal 2010. Approximately 30% of this savings were realized in fiscal 2009. In addition, our total cost to implement the plan has come down from our regional forecast of $150 million to approximately $115 million. Our effective execution of the restructuring combined with additional cost savings measures put in place very early in the economic crisis, reduced our operating expenses by $24 million compared to last year's fourth quarter. It is now clear that the scope and scale of our plan was appropriate, and that our actions that only helped us weather the immediate downturn, but also positioned the company with a significantly more cost effective network of operating assets. We have closed down high cost plans and are better utilizing our exceptional global footprint. I'm confident that our actions have made us a stronger company, and will afford us further earnings potential as demand returns to more normal levels. In the performance segment, profitability increased by $80 million from the third quarter on margin and volume improvements. Due to its reliant automotive construction and electronic industries, we experienced a shaper decline in volumes during the economic downturn, relative to business like Rubber Blacks, which have a significant replacement component to its business, whereas Rubber Blacks volumes were down 20 to 30% at their lowest point during the year. Volumes in the performance segment were down as much as 30 to 40%. However, the specially natures of its products and the high value we bring to our customer's applications, have allowed us to maintain margins through this difficult market conditions, which has given the segment significant profitability leverage with a volume recovery, leading to strong improvement in performance from the third quarter. Finally, we continue to be pleased with our cash and liquidity position. Throughout the downturn, we have maintained our financial discipline; and during fiscal 2009, generated nearly $400 million in operating cash flow. Our strong balance sheet and credit rating enabled us to obtain very favorable terms on the $300 million public bond issuance in September. We view our cash and liquidity position as a comparative advantage that affords us the financial flexibility to pursue our long-term objectives and achieve our financial targets. During the last quarter's earnings call, we reaffirmed our financial targets of $3 per share of adjusted earnings by 2012 and a 13% adjusted ROIC by 2014. To outline some of the underpinnings of our current planning, specifically in the areas of margin improvements, emerging market expansion and new business development that we believe will structurally improve the profitability of the company, allowing us to meet these targets. Margin improvement is a key lever for any chemical company and an area of focus for us 2009. In addition to the cost reduction initiative I have already discussed, let me give you a few another examples of work being done in this area. First, on the commercial front, we have been focusing our business -- our value proposition. For example, in the performance segment, we have achieved robust unit margins through the downturn, but strengthening our market segmentation, enhancing situation of its customers to better understand the value of our products in their applications and deriving appropriate value pricing. This type of systematic and value creation is key to our success in this segment. Another margin improvement area and one where we have made significant investment over the past several years is energy centers. Energy centers convert unused energy in our carbon black manufacturing process through electricity or steam. They are high return investments that reduce our variable costs and improve our environmental foot print. In the past several months, we've commissioned new energy centers in India and Italy, and we'll commission units in Brazil and China in early fiscal 2010. There are also three additional projects planned for the coming years. The completion of these energy centres will increase the percentage of our capacity, benefiting from this technology, from approximately 40% in 2009 to roughly 75% over the coming years. The final example in margin improvement is yield technology, increasing the amount of carbon black obtained from a ton of raw material, even by a small percentage; substantially low its variable cost. In this area, we're constantly improving our existing process and have earmarked significant resources to accelerate multiple R&D projects. These go from incremental activities that have immediate impact to breakthrough research that will yield results over three to five years. The next liver is emerging market expansion, we have invested heavily in emerging markets over the past several years giving us strong market positions. These investments are integral to our strategy. They are benefiting results as growth is higher and demand is recovering more quickly in those regions. I just returned from China, where I attended the formal ceremony of the startup of our two Rubber Blacks units Tianjin; doubled the capacity of Tianjin and make it just and most technologically advanced carbon black facility in the world. We are pleased that demand in the region has recovered to a level where we were able to initiate the startup of this highly competitive asset. Tianjin's low cost capacity is in one of the highest growth regions of the world, and it will immediately contribute to our bottom line. It is an increasingly important region for us, and in the fourth quarter of 2009, represented more than 15% of our total company sales. In additional to Tianjin, our facility in Merak, Indonesia has restarted after being multiple for several months as a result of the downturn. It is encouraging to see the restart of this capacity ahead of expectations, as it is driven by increased demand in the region. Coming in the early part of fiscal 2010, we anticipate commissioning a new masterbatch facility in Dubai. The plastics industry is growing rapidly in this region and our facility positions as well to serve our customers. This two is part of our overall repositioning of assets. You will recall that we close our masterbatch facility in the U.K as part of our restructuring program. And Dubai will provide us with the significantly lower cost platform. Finally, in the area of new business development, notwithstanding our focus on costs or cash in 2009, we maintained investment and spending on our most promising new business projects company wide. During fiscal 2009, we made significant progress in accelerating the pace of revenue growth and took steps to ensure that our spending was adapted to the potential of the opportunities. As result, our new business segment ended the year with positive cash flow, improving its cash flow performance by $43 million. We're well positioned to build on the success in the coming years, with opportunities for growth in several sectors. These include inject penetration into office in commercial printing applications multiple oil and gas and day lighting projects with an Aerogel and a broader adoption of our security products. We also have a robust pipeline of new opportunities targeted at the environmental energy and electronic sectors. Outside of the new business segment, there are other areas of the company where improvements in new business development will contribute to our success in meeting our financial targets. These include working with our customers on new product and technology developments that you'll see in our Rubber Blacks business and a solid pipeline of opportunities within our performance segment. In addition, we have continued to grow our Specialty Fluids business beyond the North Sea, including projects in Asia Pacific and Kazakhstan. During fiscal 2009, 29% of our Specialty Fluids sales came from region outside of the North Sea. This is compared to 21% in fiscal 2008 and 17% in fiscal 2007. These are just a few of the many activities underway that underpin our plan to achieve $3 in earnings per share. Delivery of the cost reduction and restructuring program, our management of the contract lag and our improvement of performance in the new business segments are several examples of our ability to get things done and move the company to this new level of profitability. I will now ask Eddy Cordeiro to review the business segment and financial details for the quarter, prior to be giving our outlook of the company for 2010 and beyond. Eddy?
Eduardo E. Cordeiro: Thank you, Patrick. Overall fourth quarter segment profit increased both sequentially and year-over-year. Relative to the fourth quarter of 2008, lower fixed operating and raw material costs more than offset our volumes. As I've done in previous quarters, I'll focus on my detailed business discussion sequentially; give you an understanding of the current trends. Beginning with Rubber Black, profitability increased by $5 million when compare to the third quarter with 15% higher volumes. The business showed growth in all regions. Specifically, volumes increased 19% in China and South America, 16% in Asia-Pacific excluding China, 12% in Europe and 8% in North America. During the quarter, raw material costs increased leading to an $11 million unfavorable contract lag and LIFO impact. This is compared to an unfavorable $5 million last quarter. Although we're not pleased with the impact of the lag on our business results, the work done during 2009 to move half of our contracted volumes to a more timely pricing adjustment, allowed us to mitigate much of the substantial increase in oil price during the quarter. In 2010, we intend to further reduce the percentage of our business affected by lag. When compared to the third quarter, profitability in the Supermetals business decreased by $3 million due principally to low tantalum powder demand and unfavorable product mix. The business generated $13 million of cash during the quarter from a reduction in working capital. In October, we settled all outstanding litigation with AVX; putting this litigation behind us, allows both companies to build the stronger relationship in the future. When compared to the third quarter of 2009, profitability in the performance segment increased by 18 million. The increase was driven by higher volumes and improved unit margins. Sequentially, volumes increased to 11% in performance products and 31% Fumed Metal Oxides. During the fourth quarter, the LIFO impact was an unfavorable $3 million, which was equivalent to that of the third quarter. Profitability in Specialty Fluid Segment for the fourth quarter decreased by $5 million when compared to an exceptionally strong third quarter. Although for sometime now this business has been very profitable with excellent returns on capital. The project nature of the business leads to inherent volatility in quarterly results. In the new business segment, fourth quarter revenues increased by $5 million when compared to the third quarter. The increase was principally driven by higher sales in inkjet colorants. For the full year, revenue in this segment increased by 16% or $9 million with revenue growth in every business. Year-over-year, profitability improved by $25 million, cash generation improved by $43 million and we ended 2009 with positive cash flow. Looking at the corporate financial details, during fiscal 2009, we generated 395 million of cash from operation, including a $340 million decrease in working capital. We ended the year with a $304 million cash balance. In September, the company issued $300 million in long-term public debt with the 5% coupon maturing in 2016. A portion of the net proceeds were used to pay down borrowings under our revolving credit facility and the balance will be used for general corporate purposes. Our capital expenditures for the year were 102 million, which were substantially below our revised target of 150 million as we managed our cash very carefully throughout the year. With the coming year, we currently anticipate a spending level of approximately 150 million. Finally, during the fourth quarter, the company recorded a tax provision of $1 million, including a $6 million reversal of tax benefits from the first half of fiscal 2009. We had an unusually low operating tax rate for the quarter, as we experienced a substantial improvement in our business performance in lower tax jurisdictions. Despite the favorable performance this quarter, we continued to anticipate in operating tax rate for fiscal 2010 more inline with our historic 26 to 28% rate excluding the impact of certain discrete items. And that back to Patrick.
Patrick Prevost: Thank you, Eddy. The volume improvements that we experienced in the last two quarters have been very positive. We however remain cautiously optimistic about the speed of the recovery given the broader economic environment. The actions we have taken with our restructuring and our continued focus in emerging markets and technology position us well to benefit from volume improvements. And thus, we are confident in ability to achieve our long-term financial targets. Before I turn the call over for the question-and-answer session, I would like to ask Dave Miller, our new Core Segment Leader to share with us some of his initial observations on the company. Dave?
David A. Miller: Thank you, Patrick. And it's great to be on Board. Over the last six weeks, I've been focused on getting to know the Supermetals and Rubber Blacks businesses and the Cabot team. I spent time with customers and business partners in our core businesses around the globe. And I've had the chance to visit several of our production facilities. What I'm finding is largely what I had expected, strong businesses, well positioned and specifically in the case of Rubber Blacks. So that's an unique advantage of the global asset network. The businesses are lead by strong team, with highly motivated people and with deep talent. Most recently I spent time with our Cabot team in China, ahead of the opening ceremonies for our new units in Tianjin. I'm very impressed with the business that has been built in China and the potential we now have to continue to capture growth in this important market. In the coming weeks, I'll be focused on deepening my understanding of our operations and seeing many ways to bring my experience in managing global chemical niche commodity businesses to there and moving the Core Segment forward; and I'm looking forward to do it just that.
Susannah Robinson: Thank you, Dave. We'd like to thank everyone very much for joining us today. And I will now turn the call back over for question-and-answer session. Novalia?
Operator: Thank you. Ladies and gentlemen. (Operator Instructions). Your first question comes from the line of Laurence Alexander with Jefferies.
Unidentified Analyst: Hi. This is Lucy Watson fitting in for Laurence today. Would you mind providing and update on capacity utilization and if possible by segment?
Patrick Prevost: Thank you. In terms of the Rubber Black business, which is the dominant business in our portfolio, we believe that current industry utilizations are somewhere in the high 70%, perhaps lower 80% around the world. With regard to perhaps more granularity by region, I'm going to ask Dave to provide some comments.
David Miller: So let me start with a recap of what we have seen with our Rubber Blacks sales this past quarter around the globe. Again, we started growth in all regions. Eddy gave you the details of our sequential volume increases. But in summary, Japan, China and South America saw the greatest increases. Europe, North America, Southeast Asia saw the lowest increases. So if now look at what we've done with our restructuring activity, we've taken lower efficiency capacity out of North America and Europe and built new world-class capacity in China. So this positions us with more cost efficient set of assets, redistributed into the higher growth regions and more properly sized in the lower growth regions. We now plan to run these higher efficiency units hard and that's exactly what we've been doing in recent months. As Patrick mentioned, we believe the industry is running in the high 80s ... I'm sorry ... high 70s, low 80s range. And we're running several percentage points above the industry average in all the regions in which we operate.
Patrick Prevost: And concerning the other businesses, I don't believe that the utilization rate is major fact, considering that these are specialty chemicals or more margin driven businesses that are driven by customer applications.
Unidentified Analyst: Okay. And then could you I guess address pricing trends and Performance Products and Fumed Metal Oxides?
Patrick Prevost: We -- thank you for your question; we are very pleased with the margin trends in the performance segment. And as you can see, the performance, the financial performance is reflecting that, especially considering that the volumes in performance segment are still in the 15 to 20% below the first half of 2008 levels. So, very good development in that respect. Sean, would you like to add any thing to that?
Sean Keohane: Sure. I think the key here is that we're pleased with the strong unit margins that we've produced in the downturn here. And as Patrick commented earlier, I think it's important to remember that success in this segment is really driven by a strong understanding of market segmentations being close to customers, delivering products and deliver performance in their application; and then deriving the appropriate value pricing. And that's what we've been focused on and we're pleased with that progress and pleased with where we're positions compared to historical level.
Unidentified Analyst: Okay. And do you believe that inventory destocking has ended in all of your end markets? And have you seen signs of restocking in any of them?
Patrick Prevost: So, I'll comment on performance segment. I've spent a lot of time with customers over the last number of months, focusing a lot on this question. And I think like, Cabot all of our customers have been very aggressive in working down their inventories in the supply chain. And most are still focused more on a produced to order type of mind that versus building stock for orders. And so that gives us a fair degree of confident and what we're seeing is largely underlying demand growth. With that being said, the value chains that we participate in performance segment are typically longer. And so, there is I'm sure some measure of restocking, but again I think customers are telling us that it largely reflects underlying demand.
Operator: Our next question comes from the line of Jeff Zekauskas with JP Morgan.
Jeff Zekauskas - JP Morgan: Hi, good afternoon.
Patrick Prevost: Good afternoon, Jeff.
Jeff Zekauskas - JP Morgan: Hi. You've been splendidly successful in generating working capital during -- generating cash from the working capital during fiscal '09. Can you give us an idea of your outlook on working capital in fiscal '10 right now?
Patrick Prevost: Thank you for mentioning that we are -- that we've done a good job in that respect. I think it's not only have been the job of the organization that is put a lot of effort into this very important area over the last year, but it's also been of course helped by the energy markets that have declined. We, in the last few months have seen energy prices increasing. However, there has been a lot of effort to offset that through much tighter management of working capital. And we've been successful keeping working capital flat. And we intend to of course do the same in the future, notwithstanding of course oil prices going back up to $150 per barrel for example; that would put us of course in a slightly different situation.
Jeff Zekauskas - JP Morgan: So, if I understand what you said to me, you don't expect much change in cash use of working capital in 2010?
Patrick Prevost: I would say that's what I said; of course I can't predict where our prices are going to go. So, there is going to be a limit in terms of our ability to only manage this through a tight working capital or our inventory management program.
Jeff Zekauskas - JP Morgan: Okay. And you've also really done a nice job in improving returns in performance businesses. Can you give us an idea from the third and the fourth quarter, how Specialty Blacks and Fumed Metal Oxides did perhaps relative to each other. Or are there better returns coming from both business or more from one or less from the other?
Patrick Prevost: We don't provide that level of granularity Jeff. But I would say both businesses have seen improvements both in terms of volume and ... and in the case of volume, we provided some information on separating the PPBG business from the ethylene business. But again both of them have actually seen significant improvement both in terms of margins and volume.
Operator: Your next question comes from the line of Jason Minor with Deutsche Bank.
Jason Minor - Deutsche Bank: Thank you, good morning and welcome to Dave.
David Miller: Thank you.
Jason Minor - Deutsche Bank: Just a question on your contract changes; presumably as you moved to more indexing or quick pass through, there's some sort of built in margin level. And I wonder if Patrick, you think that there's some benefit to what you sort of locking in versus the historical averages.
Patrick Prevost: Jason, I'm not totally sure that I understand the question, would you mind rephrasing it perhaps?
Jason Minor - Deutsche Bank: Well, just there's traditionally been a large impact from lagging raw material.
Patrick Prevost: Yeah.
Jason Minor - Deutsche Bank: And so if you pass in through more rapidly; presumably you agree with the customer, that you pass through everything except for the margin you're going to retain, I just wonder if that's a benefit of that margin retain is healthy, it's more healthy than traditionally?
Patrick Prevost: Well, what we have done is we have reduced the timing in terms of recognizing the feedstock cost. So, in a simplified way, we're now on a monthly pricing basis with a lot more of our customers than we were in the past. We've mentioned that we still have about 25% of our volume affected by lag which tends to be three to four months delay in the recognition of the changes in feedstock cost. So, that shortening in the recognition is what's enabling us to diminish the volatility, which results from this lag effect. In terms of the margin, I would say it does not affect the margin in it. That change does not affect the margin. The margin is more driven by competitive pressures and our ability to negotiate contracts with our customers and provide value to them through the products we serve.
Jason Minor - Deutsche Bank: Okay, thank you. And on Rubber Blacks, I just wonder if the new capacity opening up with any sort of headwind to unit margins, I assume it's not fully utilized or is that assumption wrong?
Patrick Prevost: We have been -- let me put it this way, we completed the construction of the Tianjin units somewhat earlier this year. And we're waiting for the right moment to start them up. So we were going to be patient in terms of the start up. The positive surprise has been, our ability to start them up earlier than we originally expected. And the start up was really driven by an ability to run those units at a fairly high rate, because we weren't going to take the risk of these units not actually adding to the bottom line. So today what I can say is that both units are running. And they are running at significant rates and they are adding value to the bottom line.
Jason Minor - Deutsche Bank: Thank you very much.
Patrick Prevost: Thank you.
Operator: Your next question comes from the line Saul Ludwig with KeyBanc.
Saul Ludwig - KeyBanc Capital Markets: Hey, good morning ... good afternoon.
Patrick Prevost: Good afternoon, Saul.
Saul Ludwig - KeyBanc Capital Markets: Patrick, I was there to hear about the $24 million in cost reduction that you already achieved from some of the restructuring initiatives, that's a great achievement. Could you share with us when you look at the different segments, where the line share of that benefit appeared? In other words, that would be part of the year-over-year earnings improvement; the 24 million profit would have come from these restructuring savings; and where would we see the remaining share of those?
Patrick Prevost: Yeah, let me say that we do not provide that level of detail because of the competitive nature of some of the information we have here. But it is clear that on the restructuring specifically, we have announced that we closed to Rubber Black facilities, and we've closed also one masterbatch facility and PPBG. So, if you think about that and you think about the scale of the Rubber Black business to the entire company, it would be a good assumption to say that good portion of the savings would apply to the Rubber Black business.
Saul Ludwig - KeyBanc Capital Markets: And certainly a question with the energy centers, you've invested many million dollars in those. Do you have any way of quantifying the return that you're getting on those, and that too would have helped the Rubber Black business?
Patrick Prevost: Well, we would say that these energy centers are strong value adders to our businesses and to our sites. The information we've provided in the past is that the investments for each of these energy centers tend to be between 20 and $30 million. And we look at the returns in terms of our to be between 15 and 20%. So, we continue to hold to that and believe that at those levels, they are strong value contributors to the Rubber Blacks or the carbon black business for that matter.
Saul Ludwig - KeyBanc Capital Markets: Let me -- relative to your over $3, which seems like you made -- fourth quarter showed some good progress toward that direction. What do think about the macro environment? And if you think about or just say where oil is today, where oil production is today, where GDP is today and some of the macro forces that will certainly help or hinder your ability to get there. Could you share with us some macro assumptions that are built in to the $3 below, because you just can't ... if everything stayed, demand where it is today then that probably wouldn't be achievable? So, in broader terms not specifics, but in broader terms what you see that have to happen outside of your control to help you get there?
Patrick Prevost: It would be very optimistic and our part to say that we would be able to achieve $3 per share on the basis of the current economic environment. So obviously, we have built in some level of recovery into the assumption that we will be able to achieve that $3 per share in 2012. We would consider that a return to 2008 level of demand should be achievable in that timeframe roughly by 2012. We're somewhat cautious in terms of the speed at which we're going to be getting there, considering the magnitude of the economic downturn that we just experienced. So I would say that it would be safe to say that getting back to 2008 levels, it would be considered to be a good base of which to think about that $3 per share.
Saul Ludwig - KeyBanc Capital Markets: That's very, very helpful. And then just a question for Eddy; you have the $7 million negative hit or the $6 million negative hit from the reversion on the taxes. But, it wasn't as low; if you look at the pre-tax and the taxes relative to the $0.30 a share, we'd have had a 26 million pre-tax and $7 million in taxes or tax rate of 27%. Are you saving that if you didn't have that $6 million reversion, your tax rate would have been almost negligible; and if so, why?
Patrick Prevost: Yes. That's very accurate, Saul. Actually your numbers were about $1 million off. But putout that -- if you take the $6 million out, the tax rate would have been in the order 8% for the quarter. And the reason why is because we made more money in relatively lower tax jurisdictions. And so, that depresses the rate overall.
Saul Ludwig - KeyBanc Capital Markets: Okay. And then finally just, on your balance sheet your other assets went up from 50 million to $100 million, what was the nature of that swing? Last thing on other assets, went on for 59 million to 102 million, what would have caused that $43 million increased?
James Kelly: Saul, this is Jim Kelly here. Fair amount of that is reclassification of things that were classified as current last year, and moved to longer-term this year. There was some pension assets in one of our European pension plans that accounts for a fair portion of that, as well as some land in Japan, related to a facility that came with our purchase there a few years ago. But we originally thought we would be selling that land currently to have it as the current asset; but ultimately with the downturn and that would be so of longer-term and with move to a longer-term asset.
Saul Ludwig - KeyBanc Capital Markets: Okay, great. Thank you very much.
Patrick Prevost: You're welcome.
Operator: (Operator Instructions). And our next question is from the line of Mr. Jeff Zekauskas. Your line is now back on sir.
Jeff Zekauskas - JP Morgan: Okay. Thank you very much. One of the themes of your discussion today has been the elimination of contract lags in the Rubber Blacks business. How exactly does that work? How does the company eliminate the contract lags?
Patrick Prevost: So, the elimination of the lag can only come through two means. One is clearly the management of the contractual agreements with certain number of our customers that were structured over the last few years. And these contractual agreements have provisions in them that recognize to feedstock cost with three to four months delay. So, as these contracts get renewed, we basically are recognizing those feedstock costs much more quickly, and to a certain degree and in a simplified way, it's now happening on a monthly basis. So, that is how we've been coming down from that 50% of our volume being on the four months lag or so to being within that monthly recognition pattern, which is roughly equivalent to our working capital situation. So that eliminates the volatility, I mean the other one that allows us to reduce the lag and this one is again, one that we have control over is more aggressive management of our working capital at the feedstock level.
Jeff Zekauskas - JP Morgan: That's helpful. Just directionally, will you experience a lag in LIFO head in the first quarter of 2010 or the reversal LIFO benefit and contract lag benefit? AS far as you can say?
Patrick Prevost: Yeah. As far as I can say, I would say, we should see -- we shouldn't see any dramatic change. We're looking at a flat evolution in that respect. We're still continuing to work the contract situation; meaning that, contracts that are still today with four months lag will be renegotiated as they come up for renegotiation with customers. And we will be continuing to drive towards the monthly pricing of volume approach. Sorry -- Eddy?
Eduardo Cordeiro: Yeah. Patrick, if I could ask one thing, I agree with you on the lag. Just on the LIFO, we really don't -- we can't predict that until the very end of the quarter, because it depends on what happened to raw materials cost at the very end of the quarter. But otherwise I would agree with Patrick.
Jeff Zekauskas - JP Morgan: You've also done a nice job of limiting your losses in new businesses, which is important, R&D function if I understand it for Cabot. In 2010, should those losses increase or decrease; and that there have been so many changes in that area this year?
Patrick Prevost: Well, thank you for recognizing the results that have been achieved in our business, and they've been achieved with a lot of work from the new business team. And I'm going to let Fred von Gottberg give few comments and a response to your question.
Friedrich Gottberg: Well, Jeff, part of the benefit we saw in the last year was all driven by revenue growth. And then managing the projects more tightly and making sure that we appropriately invest based on the project side and opportunity and maturity of those projects. And we'll continue to do that next year. For fiscal year '10, the intent of the Group is to trying to grow revenues robustly, like we did last year. And we are also targeting to get Aerogel to breakeven and -- but we will continue to invest also in new opportunities, so we will continue to search and fund new opportunities that hopefully will provide long-term benefit to Cabot.
Jeff Zekauskas - JP Morgan: Okay. And if I can continue a little bit; what's the outlook for Specialty Fluids next year?
Patrick Prevost: On the Specialty Fluid side, we're still seeing the overall environment in terms of the types of wells that are being drilled and the types of competition situation that we have out there in the all sector -- developing in a favorable way, meaning that those types of wells and environments are going to become more demanding. And therefore we see that the cesium format will become more and more a solution to deal with this situation. So, we're very positive in terms of development of the cesium format business. And the difficulty in terms of that business has been and remains the fact that the growth of that business is very depended on projects. And projects don't happen in a very smooth way; meaning that we have lumpiness and that affects the quarterly results. But in a trend manner we see strong growth continuing in the cesium format business.
Jeff Zekauskas - JP Morgan: And then I guess lastly, you've talked about your $3 earnings target for 2012. So in your imagination Patrick, does it go -- you earn $1 dollar and then $2 and than $3, or does it go 1153, I mean, this is back-end loaded, is it front-end loaded, doesn't you started to and then you move up there. When you look at your plan versus current business conditions, what's the trajectory over the move to $3?
Patrick Prevost: Jeff, this is a very difficult question. I would say that there is too many factors that will affect our business over the coming few years to be able to create a trajectory. We have several scenarios that we've developed. We've worked the scenarios both in terms of going out to 2012, working back and working from where we are today up to 2012. But saying that we're going to be on flat trajectory would be very optimistic. So I think we're going to -- we have all the projects identified, we know where we're going. We're confident in getting the delivery on that. I think the exact shape of that curve is very difficult today to predict; also in the context of the economic environment and the recovery
Jeff Zekauskas - JP Morgan: Okay. Thank you very much.
Patrick Prevost: Thank you, Jeff.
Operator: Our next question comes from the line of John Roberts with Buckingham Research.
John Roberts - Buckingham Research: Good afternoon.
Patrick Prevost: Good afternoon, John.
John Roberts - Buckingham Research: I think you said that Rubber Black volumes were only 4% below the year ago quarter, below the September quarter. That's much better than most industrial businesses or material businesses, I mean, most business polymer related are down still 10% to 15% from a year ago. Were there any timing issues here or do you think customers may have actually started to restock given raw material, they could see that raw material cost increases were coming at them?
Patrick Prevost: I don't believe that we're seeing restocking. I believe that our contexts with our customers and down the chain indicate that there is a lot of caution still out there. And people are worried about the developments or how they see the developments. I think what maybe behind this comparison is that last year in September, which is the last month of the quarter and the month of August being seasonally weak in Europe, we believe that the quarter of last year, the fourth quarter of last year was a weak quarter that tire industry was quite rapid in recognizing the economic downturn. And that would be, in my view the reasons for only being 4% below fourth quarter last year. It's not an indication in my view that does tire business all rubber business is ahead of any other industry of the stage.
John Roberts - Buckingham Research: And then secondly, the electronics material's supply chain at least as measured by the semiconductor guys and their materials, had a pretty substantial recovery in the last couple of quarter, but it seems like the business is not seeing at our there is still substantial inventories at customers that have been work to offer, why the disconnect between channel, I mean, other electronic materials to volume level?
Patrick Prevost: I'm -- let me ask Eddy to take that question.
Eduardo Cordeiro: Hi, John. One of the things I would comments on is that tantalum is quite a bit lumpier in the way the materials flow. A lot of the materials flow through distribution and so there can't be a fair bit of inventory that builds up and then takes longer to deplete in the chain. And so, I would say generally speaking that those types of distortions can make it look as though, it's lagging or leading and it certainly from a volume perspective, has not performed in the same way as some of the other electronic sectors that we've seen.
John Roberts - Buckingham Research: So, looking at what's happen with polysilicon and Cabot Micros, you sell silicon into them, so you can see what's going on their business. Would you use that as a leading indicator for your tantalum operations?
Eduardo Cordeiro: It would be I guess I would call it a vague leading indicator, John. It's not been as nearly tightly correlated as one would think over the years.
John Roberts - Buckingham Research: Where we had those big affects to so many years, so it's kind of hard to see any correlation that I thought that the inventories getting low, they actually, the correlation will tighten up here?
Eduardo Cordeiro: Yeah. It's -- once you get pass the cap makers John, 50% goes to distribution. So, it's becomes very difficult to see far down into the chain.
John Roberts - Buckingham Research: Okay. All right. Thank you.
Operator: Our next question comes from the line of Christopher Butler with Sidoti & Company.
Christopher Butler - Sidoti & Company: Hi, good afternoon all.
Patrick Prevost: Good afternoon, Christopher.
Christopher Butler - Sidoti & Company: I wanted to ask some questions on the demand environment come out from a few different prospective, the first off, it sounded like you're a little bit more optimistic than you were when we spoke last quarter. Could you touch on whether the improving outlook is due to the fact that destoking is done, so every thing is flowing through the supply chain now or if there is actually indications that the end markets are improving outside of what we've seen in Asia, which seems to be relatively strong.
Patrick Prevost: I would say that we sensed that the destocking has come to amend and that is a phenomenon over the last that we've seen over the last few months, which means that the volumes we seen today are more reflective of underlying demand and as we've been seeing volume improvements month of a month. I would say that we're getting more optimistic about this being sign of a recovery. Now, this means to be put into the context of still being between 10 and 20% below let say the first three quarters of 2008. And I'm talking calendar quarters here. So, I think it needs to be put in context, but clearly, I would say, we seem to seeing more of the underlying demand now being reflected in those volumes.
Christopher Butler - Sidoti & Company: And so that would sort of drive what you had said previously about restarting some capacity a little bit earlier than expected. Is this happening that the slight recovery that we're seeing a little bit sooner than what you are originally expecting?
Patrick Prevost: That's correct. And I would say, we have the benefit of having a place to lot of our new capacity in the emerging markets and in the high growth areas of the world. So, to certain degree what we're seeing today is also the result of some good strategic decisions that the company has made, allowing us to grow the business in those markets and grow faster than the total market. So, if you look at the as an example the Rubber Black volume growth the various geographies that are in our press release, you will see that China and Asia-Pacific and South America are growing fastest, and we have the significant portion of business in these geographies. So benefiting from that and in this case, China in particular has been very beneficial to us in terms of that market having grown back to levels that are actually ahead of the 2008 level. So, we're certainly benefiting from that and that has allowed us to start our plans.
Christopher Butler - Sidoti & Company: And specifically for you Rubber Black business; in the context of GoodYear's announcement yesterday that on their side, it was a little bit more cautious. It wasn't a necessarily a volume issue, but could you touch on what kind of implications that might have for Rubber Black in the fourth quarter?
Patrick Prevost: I'm going to ask Dave, to take that question.
David Miller: Well, yeah, we won't of course comment on specific customers, but what I think I can say is that as I looked around the globe including North America, we're not seeing any material shifts in our order books for this quarter relative to our expectations.
Christopher Butler - Sidoti & Company: I appreciate your time.
Patrick Prevost: Thank you.
Operator: Our final question is a follow-up question from the line of Jason Minor with Deutsche Bank.
Jason Minor - Deutsche Bank: Thanks again. I just quickly wanted to ask if you could walk through the pieces and sizes of incremental CapEx this year to next year?
Patrick Prevost: We -- as you could see fro our press release, we did -- we were very tight on CapEx through the course of 2009; we had to manage cash, we didn't know how long and how severe the downturn would be. So, looking at 2008 being close to $200 million of spend, we brought our total spend in 2009 down to 100 million. And we're looking at 2010 as a year where we're going to build on our strong positions that we've developed through some of the restructuring and repositioning of our businesses. And we're looking at the spend of about $150 million. And this is going to be focused in the areas where we believe we can expand our strength. We can build on sites where the possibility of either improving our margins or expanding our volume will have a very long-term beneficial effect. So, some of that will be in Asia of course, where we have already a strong position, because I'm a stronger believer that you need to continue strengthening your strong hand. But I can't give you any more granularity at this stage, but I think this is kind of the way we think about it.
Jason Minor - Deutsche Bank: Okay. Thank you very much.
Patrick Prevost: Thank you, Jason.
Operator: Ladies and gentlemen, this concludes our question-and-answer session for today's conference. I would now like to turn the conference over to Mr. Patrick Prevost, Cabot's President and CEO for closing remarks.
Patrick Prevost: Thank you very much for joining us this afternoon for the call. I just wanted to summarize some of the key messages that we conveyed during this last hour. So, what we've experienced in the last quarter was continuation of the strong margins across all of our businesses. We've seen volume recovery in all regions. However, we would say that volumes are still 10 to 15% below the 2008 levels; so still at a low level. Recovery, we believe could be slow and we're ready for that. We are very pleased with the developments on the new business side, where we saw 15% revenue growth and we believe that there is more to come in that respect. And our restructuring and cost reduction activities are ahead of plan, they are being delivered. And I believe they will continue to contribute to the bottom line of the company, and will position us well as the economy recovers. So all in all, I would say we're in a good position to take on the challenges ahead of us. Thank you very much.
Operator: Ladies and gentlemen, this concludes your presentation for today. Thank you for your participation. And you may now all disconnect. Have a great day.